Operator: Greetings, and welcome to Plug Power's Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listening only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Teal Hoyos, Director of Marketing.
Teal Hoyos: Thank you. Welcome to the 2021 fourth quarter update call. This call will include forward-looking statements. These forward-looking statements contain projections of our future results of operations or of our financial position or other forward-looking information. We intend these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to investors. However, investors are cautioned not to unduly rely on forward-looking statements and such statements should not be read or understood as a guarantee of future performance or results. Such statements are subject to risks and uncertainties that could cause actual results or performance to differ materially from those discussed as a result of various factors, including, but not limited to, risks and uncertainties discussed under Item 1A Risk Factors in our annual report on Form 10-K for the fiscal year ending December 31, 2011, as well as other reports we file from time to time with the SEC. These forward-looking statements speak only as statements are made, and we do not undertake or intend to update any forward-looking statements after this call or as a result of new information. At this point, I would like to turn the call over to Plug Power's CEO, Andy Marsh.
Andy Marsh: Well, thank you, Teal, and good afternoon, and thank you for joining our year-end conference call. Before we take questions, I'd like to make a few comments about the future. 2021 Plug Power grew revenue over 50%, despite the constraints of supply chain and the impact of the pandemic. In 2022, Plug almost doubled revenue. Our position as the first mover in creating the hydrogen economy is our top priority. We've achieved this position, because we have focused on customers like Walmart, partnerships like SK, our technologies, our products and probably one of the proud of the faster creative environment for our great staff. Why is our position as a first mover so important? Because hydrogen and fuel cell are $10 trillion opportunity that will change the energy landscape. Many large financial institutions are predicting that up to 20% of world's energy will come from hydrogen. It is our belief to accelerate that transition to a hydrogen economy requires green hydrogen, because it is critical for reaching the global climate goals. And to achieve that goal, green hydrogen needs to be ubiquitous. Sometimes, I think it's mess that the steps we have taken in the past few years have been to achieve this goal. And let me reemphasize, it needs to be green because any other solution is a half step. The focus in green hydrogen is why we are building out the first green hydrogen network in the US. We'll have over 500 tons per day by 2025, and are going to duplicate this network around the world with partners like ACCIONA in Spain. It's also why we've acquired companies that know how to build hydrogen plants, generate hydrogen, leveraging electrolyzers, liquefying hydrogen, like our recent acquisition, Joule and transporting hydrogen. We are also leveraging all the learnings from our own years of experience to make these offerings better. This journey will continue as we explore partnerships for pipeline and storage. Plug can not only provide the green hydrogen, but also the apps. We have built more fuel cells than anyone else in the world. Fuel cells that can be used in a variety of applications, from powering forklift trucks for Home Depot, for on-road vehicles with our JV Renault, stationary products with SK, and you'll see more and more apps in the future. We believe that green hydrogen creates a possibility that the business can continue to double for years and years to come. We believe the future is now, like, many have been watching the tragedies unfolding in Ukraine. This crisis is highlighting to people and nations that autocratic governments can't be the gas stations to the world. Liberal democracies will be accelerating the energy transition because of this horrible event. And Plug is uniquely positioned to create the future as we can help people, companies and governments transition to a carbon-free solution, not in some distant future, but today. We can do this because in very simple terms, Plug creates and builds real Plug products today for this new world. Paul, Sanjay and I are now ready to take your questions.
Operator: Thank you. We will now conduct a question-and-answer session. [Operator Instructions] Our first question today comes from James West of Evercore ISI. Please proceed with your question. 
James West: Hey, Andy. How are you doing?
Andy Marsh: Okay. Good afternoon, James.
James West: Thanks. Good afternoon to you as well. So first one for me. I don't think you announced any new green H2 production facilities, already offtake agreements yet. Am I right about that, or should we be expecting some announcements very soon?
Andy Marsh: It's one of the reasons I have Sanjay here with me. Let me -- let Sanjay talk on that, James.
Sanjay Shrestha: Yes. Hey, James. How are you?
James West: Hey, good. Thanks.
Sanjay Shrestha: Good. So let me first talk about the plans, right? So again, as we said, we plan to have three plants built in 2022. And we said that we were actually looking to break grounds on many more this year, right? So that actually gives you basically a network here in North America by the end of 2023 and early 2024. And as it relates to actually our offtake agreements for this green hydrogen, first off, we talked about this a little bit in our shareholder letter. Our funnel right now, the sales funnel for that is about 600 tons per day, right? It comes from a variety of different markets, mobility market, industrial application and natural gas blending. And our goal here, as Andy talked about it before, is to secure about 200 tonnes per offtake. So you absolutely should be expecting to hear more about it as we go into Q2 of this year in terms of new announcement and signing of these deals.
James West: Okay. Great, great. And then just a follow-up for me. The Gigafactory in upstate, where does that stand today? Are we rolling out production? What's the production ramp look like?
Andy Marsh: Production ramp really starts heavy in early April, James.
James West: Okay.
Andy Marsh: We have started making some electrolyzer stacks there. We -- if you go there today, not only do you see -- you see the plate stamping equipment. We're well, well positioned. I think in May, James, I think, we'll be inviting you all up there to Rochester to show off the new facility to the analysts and our investors. So we're planning a big day in May to have a real showcase to walk everyone around.
James West: Great. Looking forward too. Thanks Andy. Thanks, Sanjay.
Operator: The next question is from Craig Irwin of ROTH Capital Partners. Please proceed with your question.
Craig Irwin: Good evening and thanks for taking my questions.
Andy Marsh: Good afternoon. Good afternoon, Craig.
Craig Irwin: Good afternoon. Good afternoon. It’s definitely good afternoon in the Northeast. That's for sure.
Andy Marsh: Yes. Yes. Yes, it is.
Craig Irwin: So Andy, there's a lot of moving parts at Plug right now, right? You've got so many different initiatives, so many fantastic partners, your product lines. Just a lot of things to really work through, so can you help us prioritize the key drivers of improving margins over the course of 2022. So in your shareholder letter, you talked a little bit about some of the changes that have been made on the service side to improve the serviceability, reliability and economics of service for both Plug and your customers. You've got the Gigafactory coming online with obviously, utilization revenue from the electrolyzer business and everything else that's working. You've got green hydrogen coming on. There's a lot of different things that can really move the margins in a positive way. How would you rank these different initiatives? And which ones do you think will make sort of the higher dollar margin contribution to the company as we exit 2022?
Andy Marsh: I think by far, Craig, the top priority for margins is the green hydrogen network we're building out. That focus and having 70 tons per day green hydrogen will have a dramatic impact on our margins. That will start to ramp at the end of 2022 and have significant impact on 2023. That will take the business that is negative margins today. So Sanjay, you expect that to be a 30% margin business.
Sanjay Shrestha: Absolutely
Andy Marsh: And by the end of 2023, we should be in that position, Craig. And then when you think about service, what I'm really thrilled about was the 5,000 units that we put out in the field, which represented our latest technology. And those units, we already have seen a 50% reduction in service costs. I think from a dollar point of view, it won't be as big as green hydrogen, but it will be significant. And look, scale matters and production facilities matter. And the work that we're doing in the production facility, we expect to start seeing continued improvement even with this very difficult supply chain. We brought in, I think you know, Craig, a lot of the leadership who worked in the Tesla Gigafactory in Reno, Nevada, and they've already identified significant cost savings for our products without changing them, even in this very, very difficult climate we exist in today.
Craig Irwin: Excellent. Thank you for that. So then as a follow-up, and again, to keep things simple in the context of understanding the levers that are going to drive margins, right? 70 tons per day exiting 2022, what portion of your total production is that? And then what would that be actually in 2022 -- or sorry, not production but customer demand, your sell-through? And is it fair to assume those target margins of 30% are what you're probably achieving on some of these early green hydrogen sales, does that simply mathematically come into the mix?
Andy Marsh: I'm going to let Sanjay take that since, as you know, Craig, he runs that business every day.
Sanjay Shrestha: Yeah. So Craig, as you know, right, I mean, I think once we get to producing 70 tons per day, couple of points to highlight here, right? I mean, look, as you've already pointed out, just by looking at our margin here in the near-term, you can actually extract what kind of pricing we're paying for it and you can also extract what kind of ASP we have, right? We've shared with you all what is going to be that cost of green hydrogen even without force plant and how that cost continuously go down with plant number two, plant number three, right? So without even -- with a similar pricing of what our customers are paying for gray hydrogen today with our in-house production of green hydrogen, yes, you're absolutely right, you will see that 30% kind of a gross margin in that business, number one. Number two, things only get better as you go through 2023 and if you go into 2024, right, because we're going to keep adding more production capacity. In terms of our internal demand, that number is between 40 to 50 tons per day, right? That's what our demand is. So as we get to 70 tons, as we get to bigger numbers, this will have multiple effects. One, we actually have an opportunity to sell it to additional new customers, additional new markets. And another thing that also allows us to do is, and this is something very important to us. And in our opinion, very important to the entire hydrogen economy, which is help industry get through all these force majeure challenges that you often see, right? Make sure green hydrogen is economical ubiquitous. So once this North American network gets built, logistics cost will go down, cost of our green hydrogen continues to go down. And without even changing the pricing structure, we feel very comfortable about the fact that you should see a step change in our margins.
Craig Irwin: Fantastic. Thanks for taking my questions.
Andy Marsh: Thanks, Craig.
Operator: The next question is from Colin Rusch of Oppenheimer. Please proceed with your question.
Colin Rusch: Thanks so much, guys. Can you give us a sense of the applications for the green hydrogen demand in the 1,000 tons per day pipeline? Like what percentage is refining and how much of it is material handling and over-the-road transportation?
Andy Marsh: Great. Colin, you're making Sanjay do a lot of work. Good to hear you, Colin. 
Colin Rusch: Yeah. You need to work out man.
Andy Marsh: Yeah. Let me -- let Sanjay take that one.
Sanjay Shrestha: Thank you, Andy. So Colin, I think when we talk about the 600 tons of sales funnel, right, call it about it's 50-or-so opportunities, right? And look, I think in that mix, obviously, you can imagine that is some of our existing customers that are transitioning from gray to green hydrogen, which means it's in material handling, which means it's also in new apps like stationery and some of the mobility opportunity, right? That certainly makes up a pretty important chunk of that. Then you go forward and then you look at some of the recent announcement we made with customers like Certarus, right, where they're actually buying some of our Green Hydrogen, we have 10 tonnes per day offtake agreement with them, and that is more for a blending purposes, right, where you can actually start to -- almost like a virtual natural gas pipeline, where you're starting to do Green Hydrogen blending, right? Then beyond that, we have a lot of opportunities surrounding refining industry as well and some of the mainstream industrial application as well, right? So it's a pretty broad mix, if you would, call it, when you really think about it. It's not just your traditional transportation market type application. So the funnel is pretty broad. And our goal here is to really get that 600 tonne to be more former somewhere around that 200 tonnes per day by the end of the year, and that's what we're working towards.
Colin Rusch: Okay. That's super helpful. And then in some of these projects where you're bidding in electrolyzer capacity, I'm just curious what the competitive landscape is and how aggressive it is you guys have talked about the fact that you're actually building things, which is a competitive advantage. But I'm curious, how vicious the compensation is at this point from a cost perspective and just a technology performance perspective?
Andy Marsh: Colin, like many businesses, the first gate with customers are these people capable of designing a system that can meet their needs. And I think in that area, when you think about the hydrogen ecosystem we've built out, the kind of companies we acquired, we walked through that first gate, I think, cleaner than our competition in most cases. I think when I look at that, that's a real differential advantage. And then the second gate is, we have a factory that can build stacks for electrolyzers. That's a big differential advantage. I think the combined fact that we're experienced, that we can build the product, we make decisions. And my first criteria with our sales force in electrolyzer is really us screening the customers and not to be pretentious about it. But we screen and my first question to the sales team is always, but we're working with people who actually can build a plant that they understand the basics. Can they be -- can they fund their projects? Do they have an application. knowledge of an application work can be used. And in many ways, the screening process is the other way around. Now, you take what we're doing with Orascom over in Egypt. You're dealing with people who really know how to build and [indiscernible] plans. You're dealing with -- you're dealing with folks who are well funded. You're dealing with folks who have an application of green ammonia, which you can substitute Green Hydrogen today for Gray Hydrogen. So the screening process is actually the other way around for Plug at the moment. So I would say, when you start looking at a $13 billion funnel, you're really beginning to screen through who really can execute.
Colin Rusch: That’s super helpful. Thanks so much,
Operator: The next question is from Greg Lewis of BTIG. Please proceed with your question.
Greg Lewis: Thank you, and good afternoon, everybody.
Andy Marsh: Hi, Greg.
Greg Lewis: Hey, Andy, always a pleasure to talk to you. I was hoping for a little color this morning, I guess there was an announcement that a company is looking to move forward with a green hydrogen project in Houston, I believe, a 100-megawatt project, realizing that Plug was – is a first mover, was never going to be the only supplier of green hydrogen in the US. But as we think about that, are projects like that something the company is actively going after with their integrated solution, or is it at this stage in the game, we have a couple of big key customers we're looking to supply, obviously, in Australia and elsewhere, as well as building out your existing hydrogen network in the US. Just trying to understand, if as we see more projects like these, these are opportunities for Plug?
Andy Marsh: So Greg, I know that project quite well.
Greg Lewis: Good to hear.
Andy Marsh: And so – I'm well familiar with it, and Plug is well familiar with it.
Greg Lewis: Okay.
Andy Marsh: It's a very interesting project. And we're really – we know it.
Greg Lewis: Okay. But so I guess really, what I'm trying to understand is as we think about your manufacturing capacity across your business lines you do have excess capacity to kind of be a supplier to some of these new – to a potential wave of projects beyond just what the company is targeting for its own capacity?
Andy Marsh: That is absolutely correct, Greg. And look, we're looking to increase capacity in ways that go beyond just putting more equipment in. When you're at this stage of a business, you can improve capacity by making enhancements to the product, a lot of work going on with the electrolyzer MEA, how to up the power of the same MEA by 50% and having the same tag time. So we feel well positioned with our present factory. The other item, I'd like to highlight is, if you go look at that factory, there is, I think, today, 300-plus pieces of equipment that have been specified and had been designed and integrated so that we can take that model and duplicate it again. So I feel we have plenty of capacity for 2023. But we are – and so we are, Greg, looking at – and one of our items for this year is where do you build the next gigafactory? Okay.
Greg Lewis: Okay. Super helpful, Andy. Always a pleasure. Have a great night.
Andy Marsh: You too.
Operator: The next question is from Eric Stine of Craig-Hallum. Please proceed with your question.
Eric Stine: Hi, everyone. Thanks for taking the questions.
Andy Marsh: Hey, Eric. How are you?
Eric Stine: Hey. Doing well, good to chat. So maybe just on materials handling, I know, you've got the five pedestal customers you mentioned in your write-up that you've got three near-term, two in the EU, one in North America. Just curious how we should think about those maybe playing out in terms of announcements throughout this year? And then curious, as you think about your 2025 expectations or outlook, is there a number you have in mind for the ultimate number of materials handling customers.
Andy Marsh: That's a good question, Eric. And let me step back from the question and highlight the fact how important Europe is becoming to Plug Power. Europe, when you start looking at the pure-play hydrogen and fuel cell players, Plug probably has the largest staff or the second largest staff in Europe. We have the facility in the Netherlands. I'm about to go to the grand opening to our facility in Germany in mid-March. We are well-positioned in Europe. And when I look at Europe, Jose has about five or six customers on his list to reach the level at a store customers for Europe, all who we've been doing business with. And in the US, I think the announcement will come first, there's one customer that we're in final stages of to announce. I think ultimately, I'd like to think about it like Jose. I think Jose has outlined for 2030, what we as a business have to do to achieve $4 billion in revenue in that sector, and that's really our target. I think you'll probably also see as the products become simpler as the hydrogen systems become simpler, there'll probably be more work on channels also, and that will become more important for the business. So I don't know if there's an ultimate number for pedestal customers. I think there's a goal for market share that we believe penetration rates can be in the 20% level by 2030.
Eric Stine: Got you. Well, that's a good segue actually I was curious, I know years ago, you'd acquired -- I mean, it was a small acquisition, but it was a reformer company in [indiscernible]. Potentially, how do you expand the market into sites with fewer forklifts? Just curious given what you're building out on the green hydrogen side and the cost profile coming down. Maybe some thoughts about where that process stands and how you see that playing out going forward getting into those smaller sites?
Andy Marsh:
 --: What we're designing are smaller systems, much lower cost. So essentially that you'll have a 40-foot container, pick it up, drop it off, come back three days later for a new container in place, which not to divert, but I will a little, but also is very similar to how we will maintain units at smaller sites. We have a universal engine, we're calling it that comes out by the end of this year. And not only those sites will not require service people, but we'll be able to deliver hydrogen, take care of any issues that are on site when we drop by. The modules will be able to be picked up and taken back to a centralized center if they need any work, naturally really clear. And both of those projects are being done and they really closely linked together, will be finished by year's end. And we expect to ship probably 1,000 -- 500 to 1,000 of our universal engine by year's end, which reduces both the product cost, but also the service cost. And Eric, if you want to call me another time, I'll be happy to give you more of a detail on that one because it is interesting.
Eric Stine : Yes. I'll take you up on that at some point.
Andy Marsh : And I did do it justice.
Eric Stine: All right. Thanks, Andy.
Andy Marsh : Thanks, Eric.
Operator: [Operator Instructions] Our next question is from PJ Juvekar of Citi. Please proceed with your question.
PJ Juvekar: Yes. Good afternoon, Andy and Sanjay and Paul.
Andy Marsh : Good afternoon PJ.
PJ Juvekar: And my first question is on HYVIA. I think the sales should ramp up in the joint venture in 2022. How many vehicles do you think you can make this year given sort of these difficult supply chain backdrops and kit shortages? And just tell us about how do you see this JV ramping up?
Andy Marsh : Yes. First, let me take a step back and say I am thrilled with the work at the JV. We have people who are Plug people in France every week. I think we have folks from France who's been coming to Plug. We expect that -- I reviewed it this morning, we expect that we will be shipping approximately 250 vehicles this year, probably to a list of about 20 different customers. So it's a wide variety of customers. That Master Van product can be leveraged to deliver goods by people like Amazon. And it is a real, real attractive offering. By 2030, we expect to deliver about 250,000 of those units. I know that it's another facility. I think I'm going to a grand opening March 14, 15 deal for a grand opening of the HYVIA manufacturing facility in France. So it is -- I've been around a long time, outside, back at other companies like Lucent. It is a really well-run very thoughtful product development cycle that we're just really pleased. So the Master Van will be on the road. We'll have the People Mover that will come by year's end. There's work going on with taxis. There will be a next-generation platform where there's work going on for two to three years out. So P.J., I'm really pleased and I think 2023, with all the seating we're doing with customers this year, I think 2023 will continue to grow and ramp.
PJ Juvekar: Right. Thank you. And my second question is maybe for Sanjay. As you ramp up your hydrogen production, what kind of investments do you need in logistics, like trucks and liquefaction tanks and all that kind of stuff, storage tanks. Do you have that built out as well?
Sanjay Shrestha: Great question, P.J., right? So let's take a step back, right? Typically, how we think about it is like when you talk about a 15-ton plant, you need about 7 liquid tankers to deliver that hydrogen, right? That number could go down as the network really gets built out through the US, right? So you can actually leverage plants even better than even one-off plants, if you would, right? And as you've seen, right, with the acquisition of Applied Cryo, now we can build our own tankers. We can build our own on-site stores. We can do the vaporizer. So it really puts us in a position where we can only control the delivery time line, we can also reduce the cost and really think about building it faster, and that's totally in our control as a part of our vertical integration strategy, right? And also in Q1 of this year, you saw that we made an acquisition of Joule Processing, right, that gets us into the liquefaction business. So when you now take a step back and think about our capability in the green hydrogen generation business. We have our own electrolyzer. We're the largest user of it, and we're looking to sell it to the third parties, right? We now have our own liquefaction capabilities. We're using it ourselves, and we believe it will actually rival some of the energy efficiency, kilowatt hour per kilogram of electricity uses versus some of the better liquefiers out there in the market out of the gate, and we see a path where the energy consumption could even get better as you go forward. That's very important to continue to reduce the cost of green hydrogen, and finally, from a logistics perspective, now we're able to make it all ourselves. So really puts us in a very unique position from we buy renewable power and we do everything else. If customers looking for gases hydrogen, we can provide that. They're looking for component, we can provide that. They're looking for liquid hydrogen, we can provide that. They're looking for liquefiers or the tankers, we can provide that as well. So we feel very, very good about the team that has now become a part of Plug Power, and we see a lot of great things coming out of it.
PJ Juvekar: Great. Great work. Thank you.
Andy Marsh: Thanks, PJ.
Operator: The next question is from Bill Peterson of JPMorgan. Please proceed with your question.
Bill Peterson: Yeah. Hi, good afternoon, Andy and team.
Andy Marsh: Hi, Bill. How are you doing today?
Bill Peterson: Yeah, doing great. It’s been a great day. The first question I have is related to the deal we have in event last week. It's kind of an RFI request for information phase with feedback to by the end of March has Section 816 for electrolyzers, 813 for hubs. Look, I know you guys are aiming for coverage in most of the country net projects at least your first set of projects are ahead of any hubs that arrive. But I guess my first question is, is Plug doing anything in terms of engagement, or I guess, is it important to kind of steer the direction? And then secondarily, what are your expectations, if there are any, in terms of benefits from some of these announced things from the bipartisan infrastructure loss?
Andy Marsh: So Bill, I will say this first, if there's a hubs in the US, every one of them will use Plug Power products, in my opinion. We have been deeply involved in all the hubs that are going on across the country. But specifically here in New York, I think if you look, there was a press release put out by Senator Schumer right after the RFI came out where senator has highlighted Plug Power 3 times in the press release. And that we've been working very closely with the folks at NYSERDA and other folks in the Northeast in thinking through, how you make New York the green hydrogen for the country. So we are actively in -- I'm sitting here Gerry Conway, who's my government's fairs person is here with me. We meet -- they meet daily. I mean twice a week with them when they work with the hubs. My view of the hubs and a successful hub is one that builds the foundation for the future. I don't view the hub as a single government grant that allows you to build something. I view it as, how do you build a hydrogen pipeline that many people can put hydrogen in and many people can take hydrogen out. And that's how we're trying to help folks think through this, is that, this is not a onetime $8 billion opportunity. This is an opportunity in four places or maybe more across United States that build the foundations for the hydrogen economy that really can help grow, not only our business, but this entire industry.
Bill Peterson: Okay. Second question, I guess, is similar related, but it's also related to a few other earlier questions. When we think about your sort of merchant business for electrolyzers as well as captive for your Green Hydrogen production, I guess you have -- I know you've announced some projects in the US, but I guess how important is it also, let's say, I don't know, say, gain share or sell outside of your captive business, or would you expect these opportunities to address by competitors? And I guess, really, what is your win rate? You kind of talked earlier about you're being somewhat selective on this. But just curious, obviously, you have Australia and Egypt and other things overseas, but curious how you view other hydrogen projects in the US that are, I'd say, not your own sort of captive production?
Andy Marsh: I would say Bill, our win rate, the ones that have come to the finish line is probably close to 50%. And I know if you talk to our team, they would say higher, but probably close to 50%. We're not -- we want to build -- make the pie big. We've been selling -- we're selling to people who are -- who could be competitors to Sanjay. We're leveraging our technology. We believe that a huge pie helps the hydrogen economy. So we're winning deals, and I think we're winning the kind of deals we want. I think that we haven't spoken much about government policy during this discussion, but it could really accelerate here in the United States. We know we've seen previews of the State of the Union tonight. And in the state of the union, the President is going to address the need for the climate change legislation where there's a $3 tax credit for green hydrogen, which senator mention supports. We think before the election, there will be a climate bill, and we believe there will be a climate bill that's very, very friendly to hydrogen. That portion of the bill in Biden bill back better has not been controversial.
Bill Peterson: Okay. Thanks for that. Good luck.
Andy Marsh: Thanks, Bill.
Operator: The next question is from Stephen Byrd of Morgan Stanley. Please proceed with your question.
Stephen Byrd: Hey, good afternoon. Thanks for taking my questions.
Andy Marsh: Hey, Stephen, how are you today?
Stephen Byrd: Doing great, doing great. How are you doing?
Andy Marsh: Good.
Stephen Byrd: Good. Well, thank you. I wanted to explore the US green hydrogen hub opportunity more. I guess as I understand it, I mean, obviously, the infrastructure bill that did pass does include quite a bit of money for these, and we could see, I guess, as many as eight or more of these hubs. I guess it's unclear. Would you mind just talking a little bit to at least as you understand that the process for determining the allocation of these money. Just building on what you mentioned earlier, I wasn't completely sure sort of how dependent you felt you were on that money? I mean, you guys are doing so much anyway, but I'm just curious, how kind of your work ties into that federal money that's available for hubs?
Andy Marsh: First, I want to be clear, Stephen. My business plans through 2025 is not dependent upon those hubs.
Stephen Byrd: Yep.
Andy Marsh: That being said, the hubs are a great opportunity. If you're asking me a process question, as you know, the RFI went out. I think it's due March 8, the response to the RFI. Pretty general, the RFI, there's 20 questions – about 20 questions, which are rather generic, but I think helpful for the DOE to start formulating. We expect the formal RFP, I'm hearing late May, and that I think you would start seeing awards and directions by the end of the year, and it may start out with smaller projects that grow. And that's, I think, the process that's going on at the moment, Stephen. And look, we're working closely, as I mentioned, with all the folks. I think there's still, quite honestly, a lot not known about the process. One who can lead a hub is one of those debates and discussions that hasn't been clarified yet. I think the DOE and this RFI is trying to get that clarification. From a Plug perspective, I just see it as additive. Anything that helps grow the hydrogen economy makes hydrogen more attractive. It's just good for Plug Power, because we have all the capabilities to meet people's needs.
Stephen Byrd: That's helpful. It does sound like a good opportunity. And I wanted to also just talk about the green hydrogen generation network in Europe. You've given some updates in the past, the 3Q letter gave some context there. But could you just maybe expand a little bit on your latest thinking on the expansion and the size of the EU hydrogen network that you mentioned in the 4Q letter as well. Just any additional color would be greatly appreciated.
Andy Marsh: I'm going to give that to Sanjay.
Sanjay Shrestha: Hey, Stephen, how are you?
Stephen Byrd: Great. Thank you.
Sanjay Shrestha: Great. So again, look, I think given some of these unfortunate events here, right, I'm sure you've seen what has the LNG prices done in Europe, right? I mean, it's touching the levels where all of a sudden, I think, hydrogen is getting into parity even before anything else, even from a BTU content standpoint, right? But our business plan is not contingent upon what the commodity prices does from a short-term perspective, right? So we've been thinking a lot about it. And our focus in Europe really has been the electricity price in Europe, as you very well know, right, in some location can be very, very high, whether it's renewable or just and standard electricity prices. So -- and that's why the partnership with ACCIONA is a very important one because in Spain, given the solar resources that you have, you can really get a very attractive price at that solar energy. That's why we're working with them. We have about five sites that we're evaluating, but we're going to hone it into two. That is going to lead to about two of the 15 tons per day plant that we're looking to have operation by the end of 2024. That's with the ACCIONA JV, right? And we're looking at locations where you have the right wind resources, right? Where you can actually have a right LCOE from a wind power perspective, and how do you bring that hydrogen into the demand center, right? That's another area where we're spending a lot of time and we're even looking at -- we almost think about, Stephen, from a triangle perspective, how do you bring that lowest possible green hydrogen in Europe, right? So as a part of our 500 ton by 2025, then go into 1,000 tons by 2028, Europe is absolutely a very important and a big part of that. We have said that with ACCIONA. We want to have about 100 tons per day in the medium-term, and we're working with several other partners. And as we sit here right now, we can kind of soft circle if you would, visibility on what we might be building over the next several years to about 200 tons per day.
Stephen Byrd: Got it. Thank you so much.
Andy Mars: I’m just going to -- I'm going to add one item, Sanjay, is that -- in Europe, because of what's happening in Ukraine, I really strongly believe -- I was sitting with the a natural gas pipeline operator, one of the largest yesterday in New York. And both of us spent a little time. He explained to me how natural gases will get to Europe. But what the real discussion was about this will accelerate the transition. Europe is not going to want to be dependent on Russia for natural gas in the future and all the focus is on how do you accelerate this climate change goals in sake with also improving natural security and hydrogen is one of the solutions.
Stephen Byrd: See very helpful. Thank you very much.
Andy Mars: Thanks, Stephen.
Sanjay Shrestha: Thank you.
Operator: The next question is from Alex Kania of Wolfe Research. Please proceed with your question. 
Alex Kania: Great. Thanks.
Andy Marsh: Hi, Alex.
Alex Kania: Hi, there. How are you?
Andy Marsh: I’m good.
Alex Kania: Good. So I have a question for Paul to throw something his way. Just given the cash position, how is the accounting end up working for the investment portfolio as we think about kind of earnings over the course of the year?
Paul Middleton: If you're talking about the cash investments we made in the portfolio we...
Alex Kania: Yes, that's right. Just given how volatile things are, yes.
Paul Middleton: Yes. Well, I mean, in the markets that we're in, as you probably know, in short-term instruments, you're not getting a lot of yield anyway. So we're just trying to squeeze what we can out of that. There's actually some very strange rules that given the particulars where -- we have so much cash, it's actually a problem for me. It limits the amount of cash I can invest. And so that's an interesting problem I've never had before. So -- but I'm not -- I don't think that's going to be -- unfortunately, not a huge consumer because of those limitations, but it's also not a huge impact because of the market where there's just not a lot of yields to begin with. It's -- our focus is really preservation. It's the big things that we're investing in where we're going to get the big yield between the hydrogen platform and different acquisitions we made and growing those and things like that where our primary focus is on investment. So I hope that answers your question.
Alex Kania: Yes. Great. Thank. And then the other one is just kind of going back to Europe. I'm just trying to think about -- there's certainly a lot more kind of focus on networks there from some of the network operators probably more seriously or more advanced stages than we're seeing kind of the United States. So kind of how do you see -- as you're developing this hydrogen network, how could you kind of integrate with that and maybe have a different yourself maybe versus some of the other peers that are active on kind of pure hydrogen electrolysis or whatever in the continent there?
Sanjay Shrestha: Sure. Fair question, right. I think the way we're looking at it is, obviously, Europe so far has really been mostly a gases market, right? Now given I think what we just touched on with what we're trying to do with AXIONA is we're actually going to be building two liquid plants after the gate, right? Because we think liquid is going to have to be a part of the mix. But you brought up a really important and a good point. What we're doing here, right, Alex, is we're working with some of the renewable developers in the right location, where they either have secured the land or they are working on securing the right PPA. And I think what ends up happening here in some of this location, right, you might actually end up? And again, Europe actually has a better network, as you pointed out, even from a hydrogen delivery perspective, from a pipeline standpoint, Europe has been mostly a gas market. So the way, I think this is such a big market. I'm sure there'll be many flares successful. But the way we see it, we're going to work with the renewable developer in the right location where we can really secure the lowest posture possible cost of electricity. That's the first thing, right? Whether it's Denmark, whether it's Spain, whether it's even thinking about North Africa, if you were bringing hydrogen via pipeline into the European market. Then the second piece that you will see here is for the sort of that 100-plus mile delivery, it is almost going to be like a last-mile liquefaction, if you would. And that's the capability we bring to the table, and we'll work with the right partners on that front, right? So that's basically how we see it. Look, there'll be many players that are going to be successful. But I think given what Andy just touched on, that this energy transition is going to have to be even happening faster, becoming even more critical given this recent environment. This market probably moves very fast -- and that's why we're being very thoughtful and strategic about who are all the right developers that we can work with, so that we're actually putting our flag post, if you would, in terms of really being able to secure this right source of renewable in the right location to serve that market.
Alex Kania: Great. Thanks very much.
Andy Marsh : Thanks, Alex.
Operator: The next question is from Amit Dayal of H.C. Wainwright. Please proceed with your question.
Amit Dayal : Thank you. Good afternoon everyone.
Andy Marsh : So good to hear from you.
Amit Dayal : Thank you Andy. Hope you’re doing well? Just a quick question on the outlook, Andy, for revenues for 2022. What portion of that do you think comes from the international markets for you?
Andy Marsh : That's a good question. I think the international market will be about 25%, Paul.
Paul Middleton : Yes.
Andy Marsh : That's 25%.
Amit Dayal : Okay. Thank you. And then as we get into 2023, with all of these partnerships you have in those markets, does that portion grow towards like 30%, 40% or maybe even higher in the next few years?
Andy Marsh : I think the answer to that question is yes, Amit. I think part of it will have to do with -- I think I would say, yes, I would think by 2025, you're probably talking 40%.
Amit Dayal: Okay. Okay. Thank you for that color, Andy.
Andy Marsh: Yeah.
Amit Dayal: And just with respect to the new units, the ones with this enhanced technology that you have been deploying, is that now the standard units that are going to all the customers?
Andy Marsh: Yes.
Amit Dayal: Okay. Got it. All right. And are you getting a higher sales price for these offerings as well, I mean, obviously, the service side you're saving costs on those, is the price point also supporting the margins on this?
Andy Marsh: So I would just say this, that you really hate discussing pricing strategies on calls like this Amit. Let me just say that we try to get the best price for the value we create with our customers.
Amit Dayal: Okay. Understood. I'll take my other questions offline, Andy. Thank you.
Andy Marsh: All right.
Operator: The next question is from Joseph Spak of RBC Capital Markets. Please proceed with your question.
Joseph Spak: Thanks so much. I was wondering if you could spend just maybe a minute on the SK E&S JV that was completed this past quarter. Just a little bit more maybe on the ambitions, what are some of the near-term goalposts we should look for in that venture? What exactly is each partner contributing? And maybe also on the capitalization like that SK investment you got a while back, is that year marked for this JV?
Andy Marsh: No. That is Plug Power's money to spend as Plug Power pleases, Joseph. Let me take a step back. I was actually on a board call for the JV this morning. And the JVs top priority is the development of the South Korean market with a real focus on a stationary products. And by this year, we will be shipping stationary products to the JV, the initial offering. That will grow and continue to grow through 2024. The JV also has won some mobility opportunities for buses, which could be about 750 jet ProGen per year, but Korea is the first and main focus. There is a good deal of activity going on in South Vietnam, which is another -- for Vietnam, I showing my age in Vietnam and that is another area. One of the areas that I'm trying to make sure the JV is really focused on because huge opportunity is putting power on the grid in South Korea, which could help us meet our 2025 goals and most of the focus, most of the people working on that product are in that JV at the moment are focused on that product. From a capital point of view, Paul, I think I would probably put the number over the next three years in the $100 million type range.
Paul Middleton: Yeah. I think that’s about right.
Joseph Spak: Okay. Thanks. Thanks for that color, Andy. And maybe just next question just really marked housekeeping. The one-gigawatt electrodes are backlog target by the end of the year. Can you just remind us where that stands right now? Sorry, if I missed that? And also, is that -- that's captive and external, or is that -- maybe just the breakdown there and how you think about that?
Andy Marsh: So, all that's external. What we provide Sanjay is not part of our numbers. I mean, Sanjay’s business is just a transfer within the business itself. No, as I mentioned earlier in the call, Joseph, we have today a $13 billion funnel for that business, which is, you know, rough numbers is probably 17, 18 gigawatts of opportunity. So our ambitions -- as I mentioned earlier in the call, we're really focused on folks who we feel can execute, that they understand, folks who have the money, and folks who have real applications. One of the really interesting parts of this market is that there's this huge opportunity to substitute. The plant we're doing in Egypt, the offtake, for that Green Hydrogen is really just, sorry, everyone. The offtake for that Green Hydrogen, that offtake is actually the feed in ammonia plant that exists today that uses gray hydrogen. And I keep on finding more and more these opportunities, which I really like, where it's an easy substitution, that assures that the revenue, and the business model actually works. So that's where a good deal of that funnel is and a good deal of the growth opportunity exists. I hope that helped Joseph.
Joseph Spak: Yeah, thanks for the color.
Andy Marsh: Sorry about the phone.
Operator: The next question is from Tom Curran of Seaport Research Partners. Please proceed with your question.
Tom Curran: Good afternoon. As I zero in on the gross margin ambitions of bid, this might be another rare one for Paul. So before services, I know that you set a target of reducing costs on a per unit basis by 30%, by the end of this year, can you confirm or update that goal of 30%? And then, now that we are two months into the year with presumably better visibility, give us some idea of what the quarterly progression toward that year end level should look like?
Paul Middleton: Yeah. Well, there's multiple initiatives that we're working on. One, the mix of the units that we put in last year just performed better out of the gate and so you're going to see that elements in the mix. Second is that we've actually -- we’re retrofitting a number of those initiatives back into the fleet. That's happening in different stages at different customers', different timelines. So you're going to see a progression in that regard as well. The percentage that you quoted is still our target, with what we're working towards, you're going to see probably more of the benefits starting to really feed in the second half just because of timing in terms of how it works. Basically, at the end of the day, these initiatives extend the life of these parts, extend in cause less touches. And so as we make these improvements, you start to feel that and what would have been the previous cycles that happened in that second half and onward, right. So that's why you're going to start to see the big benefits in the latter part of this year. I think it's going to be a step function change, as we continue to make these improvements, continue to ship new units with the new technology and – and then of course, you've got, as we move forward a lot of customers that refresh sites in units. And so that helps and provides benefits as well. So you will definitely see more progression in the second half towards those goals. And then – and then more of a step function change next year.
Tom Curran: That was helpful summary. Thanks, Paul. And then, Andy, what does last month's announcement about your strategic collaboration with Atlas Copco and Fives? Tell us about your strategy for H2 liquefaction plants and equipment, do you remain open to and expect to stay competitive in bidding on projects where the customer wants to use a rival of Atlas Copco or Fives for the liquefier components? Just trying to parse this out. So, you chose to bring a dual in-house, but have opted for collaboration when it comes to what those two do and what you expect your strategy to be for distribution and storage? Where for example, a company like Williams, a midstream company expects to play a role, just trying to parse where you'll be expecting to actually own it, or have a piece of it in the vertical integration strategy, and where you'll be partnering? And if so, the extent to which that partnering will be exclusive?
Andy Marsh: So, Tom, I am going to let Sanjay answer that question, because he worked on that strategic field with his team.
Sanjay Shrestha: Yeah. So Tom, again, I think, as you know, right. One of the look, I mean, Atlas, as you know, obviously from the turbo expander standpoint, obviously is a very big player in that market, right? The reason to do that is sort of they have the visibility on what our needs are, right. And we have a visibility from the lead time perspective, right, with Fives being the fabrication house that has been around for such a long time. So what this consortium really brings to the table right is now. We obviously have the design, right, capabilities within Joule in terms of making the local Fives with hopefully the best possible energy efficiency. Now, we have a partner in the turbos, right compressors. We have a partner in the fabrication, right? So when you put that consortium together, one, for our internal uses is a cost savings opportunity for us. It's controlling the channel. It's basically also controlling and making sure that, there is no supply chain challenges that is beyond our control that we can manage it ourselves, right. So that's what comes to the table. And second thing is similar to our electrolyzer business, right? Look, this is a massive market. If we have parties and partners that are looking to buy liquefier, or electrolyzer from us, this consortium, obviously, will be able to supply to the third-party as well, because as Andy said, our goal is to basically grow the pie here. Hydrogen is a massive market, green hydrogen will be a massive industry. We really want to make sure that we're providing to our customers, if they want to capital equipment from us. We're prepared to do that. If they're looking for a hydrogen molecule from us, we're also able to supply to them as well. So that's really what back up consortium is.
Tom Curran: Got it. Thanks for taking my questions.
Sanjay Shrestha: Thank you, Tom.
Operator: The next question is from Ameet Thakkar of BMO Capital Markets. Please proceed with your question.
Andy Marsh: Hello, Ameet.
Ameet Thakkar: Hi, Andy. Thanks for squeezing me in.
Andy Marsh: Sure, Ameet.
Ameet Thakkar: Real quick for me, real quick for me, just – it looked like there was a pretty big sequential increase in R&D and SG&A kind of like 60%, 70% versus the third quarter and just kind of thinking about how we should think about that for kind of the upcoming year or next quarter. Is there some lumpiness associated with that at the end of the year, or how do we think about that going forward?
Andy Marsh: Yeah. Some of that R&D associated with building out the first big stationary plant. So I do think that, there's probably $6 million, $7 million, I would call – call it multi index square, where it's kind of just R&D material to build out – to build out the engineering model for the first products. But I think that portion of it, Paul…
Paul Middleton: Yeah, and there's…
Andy Marsh: Mostly go away.
Paul Middleton: We also as you know, we announced three acquisitions. And so there was some legal kind of one-time legal costs. A lot of that work would have been done prior to your end, other specialty firms that help us with diligence and accounting and things like that's all in there. So definitely some lumpiness. But I think, you know, rough numbers, kind of that 90 million bucket per quarter is probably a good proxy.
Ameet Thakkar: Great, that's super helpful. And then just going back to that the hydrogen supply business and kind of thinking back from the start of the year, there are obviously, some of the force majeure issues that you guys have highlighted, kind of throughout the – throughout 2021. But kind of going forward, like you guys mentioned, kind of prices as well as kind of impacting the margins on that business, as we kind of exit 2021 like, there are no additional force majeures that you've kind of encountered in the second half of 2021. And you guys have mentioned that a couple of times, I think, you know, just kind of getting out of that force, New Year's cycle. Is that been like a problem you've incurred a lot? And what drives that, besides kind of gap supplied through related to weather kind of disrupted?
Andy Marsh: Go ahead, Sanjay.
Sanjay Shrestha: Yeah, so I mean, on that, right, so a couple of factors in play. So when it strictly related to our hydrogen molecule costs from our suppliers, right? Natural gas has a pretty big impact to that. So the price goes up as a function of increase in the natural gas prices. So we saw some of that in Q4, right. That's what happens. Now in terms of the force majeure, right. And that's why we think about this as not only supporting Plug Power customer, right, we think the network that we're building is so critical for also the entire hydrogen industry, because what is often happened is, you know, you've had either plant maintenance, where the plant went down for longer than expected sometimes, right? You had here supply curtailment, the feed gas that was supposed to go into some of this hydrogen plants, right. So we have had to deal with situations last year, where in situation there were a couple of plants that were being down at the same time, right. So we've managed through that, which is why logistics costs went up to make sure that our customers mission critical application are maintained, or supporting that. Well, going forward, it's difficult to say that there's not going to be force majeure. But as we go into the second half of this year and really think about 2023. And as our network is built, I think it's going to be very beneficial for the entire hydrogen economy, because we'll be able to step up and really deal with this force majeure and even support some of our suppliers, frankly, as we have some of this plant come online as well as our customers.
Ameet Thakkar: Great, thanks for that, guys.
Sanjay Shrestha: Thank you.
Andy Marsh: I think that is our last call for the day. And I'd like to kind of end it where my personal remarks ended. No Plug is creating the new world today with our real products. And the energy transition is going to happen faster than people thought, even just a week or two ago. And I would tell you, there's no one in a better position because of all the years of experience because of our hydrogen echo system we built to take advantage of this change that to Plug is and I'm really looking forward to talking to you more throughout the year. So thank you, everyone.
Operator: This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.